Operator: Good morning and welcome to OTI’s Fourth Quarter and Full-Year 2014 conference call. My name is Kevin and I’ll be your operator this morning. Joining us for today’s call is the company’s CEO, Ofer Tziperman, CFO Shay Tomer, OTI America’s CEO, Dimitrios Angelis, and Bill Anderson, a member of OIT’s board of directors. Following the remarks and before we conclude today’s call, I’ll provide the necessary cautions regarding forward-looking statements made during this call, as well as information about the company’s use of non-GAAP financial information. I’d like to remind everyone that this call is being recorded and made available for replay via a link available in the Investor Relations section of the company’s website at www.otiglobal.com. Before I turn the call over to OTI management, Bill Anderson, a member of OTI’s board of directors, would like to make a few opening remarks. Sir, please proceed.
Bill Anderson: Thank you, and good morning. On behalf of the board of directors of OTI, I’d like to take this opportunity to acknowledge Ofer for his valuable contributions to OTI in various capacities he has served over the last several years. Ofer has been instrumental in helping OTI refocus its business strategy around our patented NFC technology as well as in building stronger customer relationships and a stronger operational foundation for growth. We are grateful that Ofer has made himself available through August 10 to assist in a smooth transition as we work diligently to identify and bring on a new CEO to take the company to its next level of growth and development. The board of directors would also like to acknowledge the efforts of Dimitrios Angelis in connection with his work attempting to maximize the value of our patent portfolio. As you may have heard, OTI recently received a favorable ruling in its patent infringement litigation against T-Mobile. Dimitrios will provide more color on this ruling later in the call. Now I’d like to turn the call over to OTI’s CEO, Mr. Ofer Tziperman. Ofer, please proceed.
Ofer Tziperman: Thank you, Bill. As many of you already know, due to personal reasons, on February 10 I served the board with a notice of my resignation effective on August 10, 2015 or such earlier time as the board hires a successful CEO. To be sure, I remain fully committed to OTI as the board continues its process of identifying my replacement and I will work to ensure a smooth transition to the new CEO. Looking back to the time I was appointed CEO in March of 2013, OTI has since transformed significantly and we have accomplished many positive things to set the company on the right course. This is evident by a 39% increase in revenues from continuing operations, a 23% decrease in operating expenses, and an adjusted EBITDA loss improvement of nearly $10 million during my tenure as CEO. While our progress hasn’t been perfectly linear over time, we have been able to establish an enduring and growing company despite the many external and internal challenges we face. Our team has preserved and adopted into what we believe is now a much stronger, more nimble and more focused organization. To be sure, at the beginning of 2014, we expected to realize a year-over-year revenue growth rate greater than 16%; however, we were not in a position to anticipate the slowdown of market participation leading up to the launch of Apple Pay because industry rumors were suggesting that Apple’s underlying technology might not be NFC-based. Once we adjusted to this reality, the fourth quarter turned out to be consistent with our expectations as well as with the full-year outlook we provided in November. We never believed the future of NFC was reliant on Apple’s decision, but their adoption of NFC reaffirms the tremendous value of OTI’s 20-year investment in NFC technology, and more importantly supports the long-term vision for NFC shared by our partners and customers. Now before I go further into the details about these opportunities and the progress we have made in our other vertical segments, I would like to turn the call over to our CFO, Shay Tomer, who will walk us through our financial performance for the fourth quarter and full-year 2014. Afterwards, I will return to talk about our operational activities in more detail and then Dimitrios will provide an update on our patent portfolio activities. Then finally, I will address some of the questions many of you have submitted over the last several days and then finish the call with the company’s outlook and plan for 2015. Shay?
Shay Tomer: Thank you, Ofer, and welcome everyone. After the market close on Wednesday, March 25, we issued the results for our fourth quarter and full-year 2014 in the press release. A copy of the release is available in the Investor Relations section of our website. As we reported in the press release, our revenues for the fourth quarter of 2014 increased 4% to $5.5 million from the prior quarter and decreased 12% from $6.2 million in the same year-ago period. The decrease from the year-ago period was primarily due to a decrease in the sales in the U.S. market. Now breaking down Q4 total revenues by sales and the percent of total revenue, retail and mass transit ticketing revenue was $3.2 million or 59%. Petroleum revenue was $936,000 or 17%. Parking revenue was $681,000 or 12%, and finally MediSmart and access control product revenue was $631,000 or 12% of total revenue. Looking at Q4 revenues by geographic regions and the portion of each region’s contribution to total revenue, Europe accounted for $2 million or 36%. North America accounted for $1.8 million or 32%. Africa accounted for $821,000 or 15%. Asia and Israel accounted for $659,000 or 12%, and finally South America accounted for $248,000 or 5% of our total revenue. For fiscal year 2014, revenues increased 16% to $23.1 million versus 2013. The revenue improvement over 2013 was driven by an increase in NFC reader services in the U.S. market and WAVE NFC device sales. Now breaking down our 2014 total revenues by segment and their percent of total revenue, retail and mass transit ticketing revenue was $15 million or 65%. Petroleum revenue was $3.8 million or 17%. Parking revenue was $2.4 million or 10%, and finally MediSmart and access control product revenue was $1.8 million or 8% of total revenue. Looking at our 2014 revenues by geographic region and the portion of each region’s contribution to total revenue, North America accounted for $8.3 million or 37%. Europe accounted for $7.5 million or 32%. Africa accounted for $3.9 million or 17%. Asia and Israel accounted for $2.8 million or 12%, and finally South America accounted for $521,000 or 2% of our total revenue. Gross profit for Q4 2014 was $2.5 million or 46% of total revenue. This compares to $3.1 million or 49% of total revenues in Q4 2013. The decrease was primarily due to lower revenues and higher mix of lower margin product sales. For the full year, gross profit increased 3% to $11.1 million or 48% of total revenues compared to $10.7 million or 54% of total revenues in 2013. The increase in gross profit was primarily due to the higher revenues offset by greater mix of lower margin product sales. Our operating expenses for Q4 2014 totaled $5 million compared to $7.1 million in the same year-ago period. The decrease was primarily due to a decrease in G&A and patent related expenses. It’s important to note that operating expenses for Q4 2013 included an impairment in amortization of intangible assets and goodwill expenses of $826,000. For the full year, our operating expenses totaled $20.6 million compared to $16.5 million in 2013. Our operating expenses in 2013 were offset by $4.2 million in other operating income due to a write-off of provisions for formal executive terminations following a settlement. Excluding the other operating income in the year-ago period, 2014 operating expenses were flat despite an increase in non-cash stock-based compensation as well as continued investment in sales and marketing resources related to the company’s cell growth initiative in new and existing markets. Our net loss from continuing operations for the fourth quarter of 2014 totaled $2.6 million or $0.08 per share. This compares to net loss from continuing operations of $4.1 million or $0.12 per share in the same period last year. For the full year, net loss from continuing operations totaled $10.2 million or $0.30 per share compared to a net loss from continuing operations of $6.9 million or $0.21 per share in 2013. Q4 adjusted EBITDA loss from continuing operations totaled $1.6 million. This compares to an adjusted EBITDA loss from continuing operations of $2.1 million in the same year ago. For the full year, adjusted EBITDA loss from continuing operations totaled $5.8 million compared to an adjusted EBITDA loss from continuing operations of $2.1 million in 2013. Now turning to the balance sheet, cash, cash equivalents and short-term investments at December 31, 2014 totaled $16.4 million. This completes my financial summary. I would like to address the financial-related questions we received from investors. Other business related questions will be answered by Ofer and questions related to our patent portfolio will be answered by Dimitrios after their respective statements on this call. 
Dimitrios Angelis: Thank you, Shay. On March 25, 2015, the U.S. District Court ruled on our motion for summary judgment. There were a total of six motions filed with the Court, three for OTI and three for T-Mobile. Of the three motions filed by OTI, two were granted by the Court and the third was granted in part and denied in part. Of the three motions filed by T-Mobile, two were denied and only one was granted. I will take you through those rulings. OTI’s motion for summary judgment on infringement was granted. This means that at trial, T-Mobile will not be able to challenge our infringement claim and the jury will be instructed that T-Mobile infringed and infringes OTI’s patent as a matter of law. OTI’s motion for summary judgment against T-Mobile’s affirmative defenses was granted. OTI’s motion to exclude T-Mobile’s industry expert was granted in part and denied in part. T-Mobile’s motion for non-infringement or invalidity was denied. The Court held that T-Mobile’s NFC phones infringed our patents. T-Mobile’s motion to exclude our technical expert, Dr. Apsel, was denied. The Court found no reason to exclude her testimony at trial. T-Mobile’s motion to exclude our damages expert, Dr. Meyer, was granted and will not permit her to testify as to certain opinions at trial. While an abbreviated order was publicly filed, the full version of the Court’s order was much longer and filed under court seal of confidentiality. We are still evaluating and interpreting the complete ruling. As I stated in our press release on Thursday, I am very pleased with the Court’s ruling, and we are preparing for trial. Many of you have asked very good questions related to this case and our broader plans to maximize the value of our patent portfolio. I apologize in advance for not being able to respond to your questions as directly as you would like. As you can imagine it would be inappropriate to discuss specific aspects of our strategy as it might include litigation, acquisitions, dispositions, licensing or cross-licensing. We don’t want to impair our ability to find the optimal solutions for patents. To be sure, we are exploring all options and will update shareholders when appropriate. In addition, I want to assure our shareholders that we are making every effort to keep costs at an absolute minimum while still working hard to bring everyone the best results we possibly can from our patent portfolio.
Ofer Tziperman: Thank you, Dimitrios. Now looking at 2014 from an operational perspective, while we experienced significant delays in NFC product-related orders in the second half of 2014, global interest in our industry-leading NFC readers and WAVE devices has increased significantly. In fact, we have and continue to be approached by leading players in the industry, including major vending machine manufacturers and operators as well as global channel partners. This has been the result of expanded sales and marketing capabilities that have allowed us to tap into new markets, including China, India, Japan and Latin America, as well as more established markets like Europe, and to do so by creating new strategic partnerships with major global players as well as local customers. These major players have indicated their interest in deploying OTI’s line of cashless payment readers and are in different stages of testing and integrating the OTI solutions into their operations. We are now in the process of converting this interest into meaningful sales orders in 2015 and beyond. This activity strengthens our confidence that OTI will be a major player in this fast growing market for cashless payment readers to the global unattended and self-serve market. In fact, following the entrance of Apple into the mobile payment market, we have experienced an unprecedented level of inbound interest for our various payment solutions across the unattended and self-serve markets in North America and abroad. A few shareholders have expressed their disappointment that large orders of OTI’s readers did not immediately follow the launch of Apple Pay. While we share these feelings, it is important to recognize that the typical process for landing a new multi-million dollar customer does not begin with an immediate large order; rather, it starts with an initial purchase of our software development tools followed by an integration session, and then finally the first small order to test the solution in the field. Typically, after these initial three phases are completed successfully, which can take anywhere between three to 12 months, the customer places a commercial-sized order. It’s also important to note that most of our large customers do not allow us to publicly disclose their interest or the testing of our solutions while they are still evaluating the solutions, so unfortunately we are unable to communicate all of these important ongoing integrations and tests. However, I am happy to report that the seeds we planted in 2014 are now bearing fruit in some very important large-scale prospects in the U.S. and Europe, as well as in China, India, Japan and Latin America. We are working diligently to convert these prospects into customers in the near term. Now with more details regarding our NFC and contactless readers. While we are continuing to serve our customers based on our existing line of cashless payment readers, we have identified some significant opportunities to expand our reader line with new products. Along those lines, last October we introduced Uno, an ultra-compact multipurpose NFC reader for contactless payments such as with Apple Pay, Softcard, and our WAVE device. With an ultra-compact form factor and a rich feature set, Uno is the ideal solution for meeting the complete range of NFC cashless payment industry requirements. Uno allows for a quick integration with existing terminals, which makes it an attractive solution also for the countertop attendant market where it can upgrade existing point-of-sale terminals in order to accept Apple Pay and other NFC payment devices. Uno was extremely well received at the CARTES Exhibition and Money2020 shows in November. We are working to get the product ready for mass production during the second quarter of this year. We already have concrete commercial interest for Uno as an NFC enabler for the ATM, vending and self-serve kiosk industries. We hope to supply the first orders for the product during the second quarter followed by major orders during the second half of 2015. As part of our long-term plan to expand OTI’s business and gross sales, we have now concluded the development of our own telemetry controller unit, called Connect 3000. This product is the communication device between the OTI reader or any other reader and operators back office to allow real-time processing of transactions. We designed Connect 3000 to have a dedicated processor to allow any one of our customers to port their own vending machine management software onto the system in order to maintain its existing edge over its competitors. The device also collects the relevant information from the vending machine, relays it to the inventory and other ongoing operation and maintenance information, and provides information and analytics to the operator in real time. This ensures more efficient control of each connected machine, which results in increasing revenues per machine for the operator. Connect 3000 is a complementary solution to the OTI Trio and Uno readers and provides OTI will up-sell opportunities with any customer who buys the two devices bundled together. It’s attractive and competitive price and performance is making Connect 3000 one of the best solutions of its kind on the market. Customers that got an early look into Connect 3000 have provided encouraging feedback. Connect 3000 allows OTI customers to focus on the core service business rather than spending time and money on ongoing development and manufacturing of their own telemetry controller devices. We are working towards mass production of the Connect 3000 and plan to ship the first commercial orders by the end of second quarter, and with major orders expected in the second half of this year. Connect 3000 will allow us to expand within our existing customer base as well as open up new markets that were previously unobtainable. We are very encouraged with our execution on this strategic initiative and expect it to bear fruit this year. Our R&D team has been working on our next generation reader that we believe will be a significant improvement over the current readers in the market and will help us maintain our leading market position. It is worth mentioning that all of OTI readers that are already installed in the market are Apple Pay compatible. This is why Apple CEO, Tim Cook found it worth mentioning that with all the connected vending machines of our largest U.S. based customer, USA Technologies, Apply has added an incremental 200,000 points-of-sale that are Apple Pay compatible. This is up from 220,000 Apple Pay supported locations following the launch. It requires a lot of hard work by our sales team, but I’m very encouraged by the significant progress we have made in the past two years since the expansion of OTI’s reader business in the U.S. The OTI brand for technology-leading and cost-effective cashless payment readers is becoming well known and recognizable in the global vending industry. This is reflected by increasing inbound interest as well as new customers in Europe, China and Japan. We expect a growing number of new customers with orders coming from these emerging markets this year. Now as far as our WAVE product, the investments and resources we allocated to our WAVE device are starting to pay off. Earlier this year, we introduced WAVE for the banking consortium in Taiwan through Tradelink, our value-added resaler partner from Hong Kong. We shipped the first quantity of this new customer in the first quarter. Major channel partners like Tradelink help us rapidly gain access to new markets and regional banking networks. We expect this large scale deployment will serve as a model for adoption by potential customers looking to implement safe, secure and cost-effective NFC solutions. We are also expanding our collaboration with Cubic Transportation Systems, the world’s largest integrators for IT and payment systems and services for intelligent travel solutions. We believe that this collaboration will yield its first commercial orders this year. We are also allocating sale resources to introduce WAVE into new markets in Asia and believe it will lead to more orders this year. In sum, WAVE is very well accepted by the market for both open and closed-loop transactions. Although the sales cycle is longer than what we initially expected, we are still of the view that this product can have a significant sales impact in all geographies. Based on the initial market response and encouraging feedback we have received, WAVE seems to be the right product at the right time for several industries. Now to our automated vehicle identification and petroleum segment. We continue to secure new business in the government sector in southern Africa in conjunction with our major company customers, BP and Masana. We also continue to participate directly and in conjunction with other strategic partners and distributors in major tenders worldwide. In January, we were awarded global tenders to supply our automated vehicle identification solution, EasyFuel Plus, to an emerging multinational oil company for its retail operations which currently span across three major regions. We have since received initial orders from this new customer in selected markets in Africa. We are also making progress with integration to local systems in the Central American market. We anticipate this will drive incremental recurring revenues from the provision of transactions processing services. We continue to see a notable increase in the number of tenders being issued for automated vehicle identification solutions, or AVI solutions. AVI is rapidly becoming a benchmark in the B2B market where the cost of fuel represents a significant portion of the overall operating costs for customers. We hope to announce more tender awards during the remainder of this year. We are deepening our engagement with BP and Masana as our major customers in the African region and are working hard to win their new mass upgrade project. Additionally, a number of other independent oil companies have committed to implement EasyFuel Plus as part of such upgrades. Our strategic partner, Tokheim, continues to make progress in the European market where our solution has been deployed in 14 markets. We are collaborating with Tokheim to further adopt our equipment to their specific European market requirements, which will allow us to increase the partnership’s sales momentum. Wayne, another strategic partner, is making steady progress in the market. Wayne leverages its channel partners to introduce our EasyFuel Plus solution to petroleum retailers, commercial fleets, and industrial and mining customers. The pilot implementation for one of Wayne’s North African customers has been successfully concluded, and we are looking to start the rollout soon. Field trials for a major petroleum retailer in South America are underway with Wayne as well. We also expect to launch EasyFuel Plus in several large countries in Asia this year. Our MediSmart solution continues to be installed by our local partner, Smart Applications, in several points of service in East Africa. We are working with Smart Applications on other significant opportunities to extend the implementation to local government and unions. Altogether, we continue to expand a number of cogs in circulation which generation ongoing monthly recurring fees for OTI. In our mass transit ticketing segment, our Polish subsidiary, ASEC, continues to generate a steady stream of revenues from its four mass transit ticketing projects in Poland. ASEC is working to expand its ticketing project network to additional municipalities, additional railway projects, and additional transport companies in Poland. ASEC is also currently involved in development of new complementary mobile solutions for ticketing market as well as solutions and services utilizing our WAVE device and our telemetry controller, Connect 3000, together with payment solutions for the vending machines market that will be offered to our worldwide prospects. Turning to our parking segment, in early March we received a five-year contract extension from the local government economic services of the local authority in Israel for our EasyPark parking management system. Our patented in-vehicle parking meter has revolutionized Israel’s on-street parking management and fee collection system. Since 200, our subsidiary EasyPark Limited has sold more than 850,000 EasyPark devices and collected more than $165 million of parking fees for Israeli municipalities. This five-year contract extension brings the total service time of the EasyPark system in Israel to 20 years. This contract extension reflects the effectiveness of EasyPark, the quality of the service we provide our customers, as well as the convenience it affords drivers. In fact, about one of every four paid parking sessions in Israel is paid for using the EasyPark device. Our win in Arlington Country, Virginia has now moved into full commercial deployment, which was announced by the municipality last week. EasyPark is the successor of Arlington’s popular iPark device. EasyPark combines the ease of coin-free and credit card-free parking with the convenience of internet customer service. According to Arlington County’s treasurer, the iPark was very popular and EasyPark is even better as it makes meter parking simple and easy. We also further advanced our upgrade program in Norway to replace the legacy parking solution with EasyPark in some 24 cities. We continue to pursue other deployments in Africa and Eastern Europe that align with our strategy of focusing on greenfield operations through collaborations with local parking operators which provide long-term sustainable growth and income. We are constantly participating in new tenders, and we expect to further increase our reach into new contracts in Latin America and Eastern Europe where we see strong growth opportunities. Now looking at our business from a broader perspective, under the leadership and direction of OTI’s new chairman, Dilip Singh, the board has established some key initiatives and tactical changes for the company to pursue in 2015. These are focused around three key priorities: expanding our global partnerships, improving our operating efficiencies, and rationalizing our research and development. Now let me go through these in more detail. The board’s first priority is to see continued growth in our top line. We have a tremendous opportunity to do this by leveraging the growing interest in our cashless payment solutions to expanding our key global partnerships and distribution channels. For improving the bottom line, the company will be focused on generating greater operating efficiencies with productivity gains. This will be achieved through meaningful cost cutting in non-employee related areas. In terms of R&D, we plan to rationalize our R&D expenses in a way that furthers our competitive advantages and maintains our industry leadership. To be sure, the three key pillars of our success have always been our strong technology platform, our world-class customers and partners, and perhaps most important of all, our dedicated and talented team of employees. I believe that now more than ever before, OTI is well positioned to capitalize on the multi-billion dollar cashless payment market, a market that continues to evolve and expand, and now with the favorable decision by the U.S. District Court, the market that must now recognize and respect the unique value of our IP.
A - Shay Tomer: The first two financial-related questions are from Mike Latimore with Northland Capital Markets, who asks:
Mike Latimore: What is a reasonable gross margin for this year?
Shay Tomer: Thank you for the question, Mike. We are not providing guidance on any specific number. Mike’s second question:
Mike Latimore: Should your recurring revenue continue at the $1.5 million level?
Shay Tomer: Again, we are not providing any guidance on any specific numbers. However, investors should be aware that our recurring revenue might be affected from exchange rate differentials since most of our recurring revenues are in currencies other than the U.S. dollar. Ed Lochvalt [ph], an individual investor, asks:
Ed Lochvalt: According to OTI’s 10-Q for Q3 2014, OTI entered into a financial agreement with Bank Leumi for a line of credit. This agreement has a condition whereby OTI has to generate $1 million of positive EBITDA by the year-end 2015. My estimate equates to an annual sales revenue of $39 million-plus. Assuming no license revenue over the rest of the year, how do you plan to grow your core business to meet this condition? What specific steps are you going to take to reduce cash burn and meet your financial obligations?
Shay Tomer: Thanks for the question, Ed. We are aware of all of our covenants in our loan agreement. The company has sufficient liquidity in the event we are required to reduce or repay the loan for Bank Leumi. It is important to note that the covenants in any of our loan agreements do not indicate any guidance for 2015. We continue to monitor our operating expenses and gross margin while trying to better align our cost structure with our expected revenue level. This is demonstrated by our ability to reduce operating expenses in Q4 2014 by $2 million, or $1.2 million if you exclude the one-time impairment of the intangible assets in Q4 of 2013. Ed also asks:
Ed Lochvalt: What other loan conditions does the company have that investors should be aware of?
Shay Tomer: We have disclosed all of our loan conditions in our 10-K and financial report that will be filed later today. Ed asks:
Ed Lochvalt: Why did revenue from discontinued operations decrease sequentially in Q4 2014?
Shay Tomer: Net income from discontinued operations decreased in Q4 2014 compared to Q4 2013 since in December 2013 we recorded in the income statement the one-time income from the divestiture of the SmartID division. The next question is from Mike Vermut of Newland Capital Management, who asks:
Mike Vermut: What is the current amount of NOLs available to the company, considering that they could be more valuable than the current market valuation of the company, thus resolving the patent portfolio and operations of the company at zero or less than zero?
Shay Tomer: Good question, Mike. The current amount of our NOLs is approximately $118 million, which represents an off-balance sheet tax asset in the amount of $47 million. The NOLs have no expiration date and can be used for both patent and operations future profit. The next question is from Kevin Dede from HC Wainwright. Kevin asks:
Kevin Dede: Can you detail the cost side of your IP litigation? Are all costs expensed on the income statement, or is there a contingency element with your consult? Is any of it capitalized?
Shay Tomer: Thanks for the question, Kevin. In accordance with U.S. GAAP, all costs are expensed in the income statement as incurred. We strive to engage outside legal consult on the most cost-effective basis for the particular matter, which may include hourly fixed fee, contingency, and other alternative fee arrangements. Nevertheless, I can assure you that all IP litigation costs will be accounted for in our financial statements according to U.S. GAAP when incurred. Those are all the financial related questions we received. I would like to turn the call over to Dimitrios. Dimitrios?
Dimitrios Angelis: I would now like to address some questions we’ve received from investors regarding OTI’s patent portfolio activities. The first question is from Ed Schwartz, who asks:
Ed Schwartz: Over the past two years, OTI has spent over $1 million in salaries and expenses to monetize its patent portfolio. Why have we not seen a return on our investment, and when can we expect a return on our investment? Why have you been unable to license your patents?
Dimitrios Angelis: Thank you for the question. One of OTI’s principle tools to maximize the value of its patents has been patent litigation, which is expensive and difficult to predict outcomes. We have made every effort to minimize litigation costs while still pursuing the best possible outcomes. Nevertheless, because the litigation process is inherently uncertain, we cannot know when or even whether we might get a return on the litigation efforts. While we received the favorable ruling on the summary judgment motion against T-Mobile, we cannot predict whether that ruling will result in a favorable outcome at trial or how much we might recover in damages. We also are exploring licensing opportunities for our patent portfolio. While entering into licenses can be less expensive than litigation, executing on such opportunities while our patents are the subject of litigation can be difficult. It is our hope that if we win a favorable ruling at trial against T-Mobile, many licensing opportunities will emerge. Ed also asks:
Ed Schwartz: The company recently stated that they have over 30 patent families. The U.S. PTO office reports 20 patents assigned to OTIV. Many of the company’s press releases refer to patents and patents pending. Where can an investor find a list of all OTI worldwide patents? Where can I find the list of all the company’s patents pending?
Dimitrios Angelis: Patents issued in the United States can be found online at the U.S. PTO website, that’s www.uspto.gov, or on Google at www.google.com/patents. Almost all of U.S. patents have several international counterparts. Non-U.S. patents can sometimes be found online at the respective country’s corresponding patent office. The next question is from Sandy Leff with Janney Montgomery Scott, who asks:
Sandy Leff: I would like to know the legal process that lies ahead as best as can be described to shareholders and any other possible legal matters that go to OTI realizing the value of our IP and inventions.
Dimitrios Angelis: Thanks, Sandy. Now that the Court has ruled on the summary judgment motions in our case against T-Mobile, we expect they will set a schedule of pretrial motions and a trial date. Once we have more to report on timing of the trial, we will communicate it to the public. Sandy also asks:
Sandy Leff: What other IP and know-how does OTI have in its arsenal that should be needed and wanted by others as things evolve?
Dimitrios Angelis: OTI’s patents are all publicly available online at the U.S. PTO website or on Google Patents. We continue to develop new technology, patents and know-how so that it can maintain a competitive edge in the industry. Our next question is from Bob Schnell with Dougherty Asset Management. Bob asks:
Bob Schnell: Please discuss the IP patent monetization strategy for 2015, especially in light of the T-Mobile win. Do you expect to initiate more lawsuits or sign up license deals in 2015?
Dimitrios Angelis: Thanks, Bob. For the best interest of the company and its shareholders, we cannot disclose publicly our litigation strategy or comment on future lawsuits and litigation, if any, for 2015. Mike Latimore asks:
Mike Latimore: I assume possible trial would be to discuss damages only. When might that trial occur?
Dimitrios Angelis: I appreciate the questions, Mike. Damages will be part of the upcoming trial; however, we cannot speculate on the specific date or potential outcomes, but we are reviewing further the Court’s ruling and preparing for the next steps in the case. Mike also asks:
Mike Latimore: Given success on summary judgment, are you likely to start pursuing other potential licensees?
Dimitrios Angelis: Mike, as previously noted, we cannot comment publicly on future litigation or the plan for it, if any. The next question comes from Kurt King with Harvest Capital Strategies, who asks:
Kurt King: Regarding your patents, how important if the O43 patent versus the rest of your portfolio? In other words, should we think of the O43 as the big gun or rather as the first of many patents with similar monetization potential? If the latter, is there a reason why we have seen action only around the O43 and not the others? 
Dimitrios Angelis: Thanks for the questions, Kurt. We believe the O43 patent is a fundamental patent for NFC patents. We continue to evaluate our entire patent portfolio and make strategic decisions accordingly. Mike Vermut asks:
Mike Vermut: Have you designated anyone within the company or outside the company to create a strategy to approach other potential patent violators to negotiate settlements rather than litigate?
Dimitrios Angelis: Mike, as you know, OTI’s board of directors asked me to lead the company’s efforts to maximize the value of our patent portfolio, and as noted previously I cannot comment on or disclose publicly any strategy that involves litigation, if any, or that involves potential patent violators. However, I can tell you that the company is interested, as before, in protecting its interests and IP portfolio, and it will be prepared to defend its interests vigorously. The final question is from Eric Gomberg with Dane Capital Management, who asks:
Eric Gomberg: How does the summary judgment inform your strategy with potential future litigants? To what extent does it improve your chance of a positive outcome?
Dimitrios Angelis: Thanks for the question, Eric. In our summary judgment ruling, the Court ruled that our O43 patent was being infringed by T-Mobile. We therefore do not have to prove T-Mobile’s infringement at trial. That’s all the questions we received regarding our patent portfolio and monetization activities. Now I’d like to turn the call over to Ofer. Ofer?
Ofer Tziperman: Now with that, I would now like to address all the questions we have received from investors and analysts regarding the NFC market and the OTI sales prospects. The first question is from Ed Schwartz, who asks:
Ed Schwartz: If 40% of iPhone 6 owners have used Apple Pay, where are the readers and WAVE orders?
Ofer Tziperman: Thanks Ed. As I mentioned, since Apple launched Apple Pay, the level of interest in OTI’s readers has increased sharply. The number of SBK [ph] development kits we have sold since the launch is multiples of what we have sold in the entire period prior to the launch. It must be noted that any large order by a new customer begins with an initial inquiry followed by a purchase or an integration of an SBK, then a small scale pilot project, and only then we can expect the first commercial orders will start coming in. We currently believe we are well on track with [indiscernible] by new major customers and we expect to be able to announce new deals in due time, subject to our confidentiality undertakings towards our customers. The WAVE device is also gaining a lot of attention by mass transit operators, banks and mobile network operators for both closed and open loop payment systems. We already have reported our strategic collaboration with Cubic for mass transit solutions as well as with financial institutions. The joint solution is being promoted to major customers and we expect to secure new deals in due time. Sandy Leff asks:
Sandy Leff: I would like to know how the sales environment has differed from what was thought shortly after Apple launched their NFC payment platform.
Ofer Tziperman: Thanks Sandy. As I mentioned, the sales environment has improved dramatically following the launch of Apple Pay. We are in the sales process with several new major customers for both our readers and WAVE device. We expect to be able to announce new deals in due time, but only subject to our confidentiality undertakings and after we get consent from our customers, when applicable. To be sure, we will not risk any deal by rushing to announce it ahead of time. Sandy also asks:
Sandy Leff: Is the competitive environment for NFC device fierce, and is OTI dependent on recognition of IP rights to compete effectively?
Ofer Tziperman: We believe that we are on top of our game with both our readers and WAVE device. Surely we expect competition to rise as the market gains momentum, but we have good reason to believe that based on our superior technology, good reputation with our customers, and our aggressive pricing strategy, we will maintain our leading position. We are also busy developing and releasing new advance solutions which have been well received by the market. As far as our operating business is concerned, we are not dependent on any further recognition of our IP rights. The next couple of questions are from Bob Schnell. His first two questions are:
Bob Schnell: What is the company’s expectation of revenue growth for 2015? Does the company still expect to be EBITDA break-even in 2015?
Ofer Tziperman: Thanks Bob. We are not providing any specific guidance at this time, but we are working diligently to that end. Bob also asks:
Bob Schnell: What has been the reception of the WAVE device in the recently announced trials? Do you expect material revenues in 2015 from the WAVE?
Ofer Tziperman: WAVE has been very well received in the banking and mass transit sectors, with some projects also related to closed campus management. We certainly expect new contracts to be signed this year, however, we cannot give guidance on how much revenues will be recognized this year. Finally, Bob asks:
Bob Schnell: What has Apple Pay done to the market, an example, mobile payment and NFC?
Ofer Tziperman: As I mentioned, Apple Pay has become a major driving force in the mobile payment and NFC market. We believe that many new customers that have approached us since Apple Pay was launched became more eager to adopt our solutions once they realized that NFC is now backed by a giant like Apple. Mike Latimore submitted several questions related to our operations and outlook. His first question:
Mike Latimore: Have you signed contracts with new customers that could generate $3 million-plus per year over time?
Ofer Tziperman: Mike, we are negotiating with several new major customers which are in different stages of negotiations to reach definitive agreements and expect to be able to announce them in due time once negotiations and all terms are agreed and concluded. However, as you surely know, such major deals are complex and usually require some time to finalize. Mike asks:
Mike Latimore: How many of those type of customers have you signed? Who were competitors on these deals? What kind of companies are those companies? What application are they envisioning - cashless vending?
Ofer Tziperman: Well, we are already in trials with several new customers, but for confidentiality reasons we cannot disclose. We do not want to discuss any particular competitor on the call as we have no plan to offer them any free advertisement here, but we are certainly not working in a vacuum. This is why all of our products are designed to meet the best price for performance and our customers appreciate it. The feedback we receive from our customers and partners is that we are on top of our game. We are working very diligently to maintain this position by developing new, innovative products. Another question from Mike:
Mike Latimore: Are you the exclusive vendor on those deals primarily, and are they based in the U.S. or elsewhere?
Ofer Tziperman: Yes, we are the exclusive vendor on several deals we win. In the last two years, we have expanded our sales efforts and now work with customers all over the world. Mike also asks:
Mike Latimore: What is the chance some of these customers start ordering in the second half of the year? 
Ofer Tziperman: Mike, we believe that first orders will start in the second quarter once the testing and pilot phases are concluded, and over time we’ll get more customers in the second half of this year. The next question from Mike:
Mike Latimore: Do you have any new OEM customers?
Ofer Tziperman: Yes, we do have new OEM customers. Mike’s next question:
Mike Latimore: How many new prospects are tied to Apple Pay or U.S. [indiscernible] and drivers?
Ofer Tziperman: Mike, I cannot give a specific number, but we believe that Apple Pay was the main motivation of some customers to stop waiting and finally jump on the NFC wagon. Mike also asks:
Mike Latimore: Has the Cubic relationship led to new business? When might that get recognized?
Ofer Tziperman: Well at this point, due to confidentiality restrictions, I cannot provide any further details. Mike’s next question:
Mike Latimore: I assume a potential large customer you signed over the next few quarters would produce 2016 revenue?
Ofer Tziperman: That’s correct, Mike. We expect that most of the deals we sign this year will be long-term customers with repeating orders. Mike asks:
Mike Latimore: Do you expect more WAVE revenue in 2015 versus 2014?
Ofer Tziperman: Again, we are not providing guidance on any specific numbers. Mike’s next question:
Mike Latimore: What is the status of the $6 million order you announced last summer?
Ofer Tziperman: Well, we are delivering it and at the pace directed by the customer. The next question from Mike:
Mike Latimore: What is a preliminary revenue range for Q1?
Ofer Tziperman: We are not providing any numbers at this point. We will discuss the Q1 results on our next call in May. Mike asks:
Mike Latimore: I assume you are not likely to reach EBITDA break-even in Q3?
Ofer Tziperman: Again Mike, we are not providing specific guidance at this time. Mike’s next question:
Mike Latimore: Are you going to wait for a new CEO to give guidance?
Ofer Tziperman: Mike, I’m not in a position to reply on any future guidance policy. Mike also asks:
Mike Latimore: Are there plans to further reduce operating expenses?
Ofer Tziperman: We are constantly monitoring our level of expenses and we do not hesitate to make any adjustments if and when required. Mike’s next question:
Mike Latimore: Do you see revenue growth in 2015 versus 2014?
Ofer Tziperman: Yes, this is the plan, Mike. Mike’s final question:
Mike Latimore: What kind of reader unit growth do you expect in 2015?
Ofer Tziperman: Again, we are not providing any guidance on specific growth numbers at this point. The next question comes from Kurt King, who asks:
Kurt King: Can you discuss the competitive environment? What are the chances larger players such as VeriFone and Ingenico could enter your market? Conversely, could there be an opportunity for OTI to enter their markets? 
Ofer Tziperman: Thanks for the question, Kurt. As I noted before, we are not working in a vacuum. Large players, such as the ones mentioned in your question, may certainly decided to enter the unattended market and to a certain extent already did, however, their solutions are more expensive than OTI’s and not necessarily more advanced. The feedback that we receive from our customers and from the market is that we currently offer the best price per performance. We are also known for our dedicated service to our customers, which we believe is a key for success. We constantly monitor our competitive advantages in various markets and we will consider expanding in any direction or market if we think the opportunity is attractive and we will have a high degree of success. Kurt also asks:
Kurt King: Can you discuss expected cash burn and your anticipated use of your shelf? Most importantly, is there a realistic scenario where you would need to raise equity to fund operations?
Ofer Tziperman: Kurt, we currently have no such plans to raise additional equity to finance our operations; however, we constantly monitor our liquidity needs and we will take appropriate measures to make sure we have adequate liquidity for our activities. Kurt’s final question is:
Kurt King: Can you give us expected timing and profile of the next CEO? What are the chances that this person would be U.S.-based, that this person would have public company experience?
Ofer Tziperman: The board is currently search for a replacement, and they will announce a replacement when they find the right candidate. Until then, I am the CEO and have committed to be on board until August 10. The next couple of questions are from Mike Vermut. Mike asks:
Mike Vermut: Now that we have the patent portfolio validated, can you give us a timeline for finding a CEO who will be based in the U.S. home office, as the majority of growth for OTI will come from the Americas? 
Ofer Tziperman: Thanks Mike. The board is checking all options for the best interest of the company and shareholders. Relocating the CEO to the United States requires complex legal and tax analysis which the board needs to consider, along with all other business factors, before such decision can be made if this move is the best course for the company. Nonetheless, we are committed to expanding our sales in the U.S. and the location of the CEO should not be viewed as negative to such efforts. Mike’s next question:
Mike Vermut: Will the recent validation of our patent portfolio allow OTI to increase prices and margins to a level that reflects our monopoly on these NFC features?
Ofer Tziperman: Well, we are selling different products in different markets. Not all of them are related or dictated by one specific patent. Our first priority is to provide the best products at the most attractive and fair prices while maintaining our target margins. Mike also asks:
Mike Vermut: Can you comment on how this patent decision will impact the customer’s decision process of our current and growing pipeline? Would you expect it to be expedited considering we now have a validated monopoly on our technologies? 
Ofer Tziperman: I don’t like the word monopoly in any context, Mike. The last ruling is definitely helpful to show our customers and partners the value of our technology, but most of them already appreciate our technology based on the superiority and performance of our products. Mike’s follow-up question:
Mike Vermut: Considering the strength of our patent portfolio is now validated, the considerable value of our net operating loss and the growing pipeline of our operating units, how do you envision unlocking this value, including seeking strategic alternatives with a company that can utilize these net operating losses?
Ofer Tziperman: Mike, as you know, this is a strategic decision that is in the hands of the board. I assume we have all options on the table for the best interests of our shareholders. Mike also asks:
Mike Vermut: I have read of multiple banks beginning to offer Apple Pay options and also read that only 16% of Apple phone users have already upgraded to the iPhone 6. What is taking so long to get the WAVE adopted, and should we expect some announcement in the near future?
Ofer Tziperman: We wish the evaluation process was faster, but as I mentioned, new customers are checking and piloting our solutions very carefully before they are committing to large orders. Yes, we do believe that we have some interesting wins this year. Mike’s final question:
Mike Vermut: In recent presentations, your largest customer discussed the significant growth in their unattended reader market and their stock price has reflected it in the past few months, as it has almost doubled, while OTI drifted to $1 per share. Can you try to explain this disconnect since the announcement by Apple last fall?
Ofer Tziperman: Well, I’m not in a position to make any analysis of our share’s performance compared to our customer’s in the short run. From a pure business perspective, if our customers are successful, they will order more of our products and we will be successful as well. The next two questions are from Kevin Dede with HC Wainwright. Kevin asks:
Kevin Dede: Have you seen Apple Pay expand beyond the U.S. yet? If so, where do you think there is most interest and where do you think initial deployments may first start? MasterCard released some relevant survey information regarding geographic acceptance of mobile payments in conjunction with Mobile World Congress in early March. Do you think that survey fairly represents non-domestic interest in Apple Pay?
Ofer Tziperman: Thanks for the question, Kevin. With or without the high level of interest created by Apple Pay, we have seen a sharp increase in interest also in other parts of the world, including Asia, Europe and Latin America. We are working very diligently to translate it into new customers, followed by new orders. Kevin also asks:
Kevin Dede: With Softcard now absorbed by Google Wallet, there appears to be one less mobile payment competitor; however, it appears Samsung is increasing its focus on the opportunity. Meanwhile, CurrentC was hacked. We are wondering how you see the changes in the competitive environment and who you might think emerges as a real competitor, both domestically and abroad.
Ofer Tziperman: All the competition between the big players in the mobile payment market are playing in favor of our reader business. If you stand in front of a vending machine and you want to pay with your fancy new phone, you must have a corresponding reader on the machine. This is exactly what we offer, and we design our readers to be able to support multiple payment methods, not only NFC, so a user will never walk away without the purchase. The next question is from Eric Gomberg, who asks:
Eric Gomberg: Realizing that you are in multiple NFC payment trials with multiple large parties, and these pilots can be drawn out, can you help us size the potential opportunity over time; for example, if you succeed in your fair share of pilots, then in 2017 is OTI a $30 million revenue company, $50 million, $100 million, $200 million? Please give us some type of quantification of the opportunity that we are playing for.
Ofer Tziperman: Eric, we are not providing this level of guidance at this time. Eric also asks:
Eric Gomberg: To the board’s credit, numerous board members have purchased shares of OTI via open market purchases. I realize that you may currently be in a blackout period, but assuming shares remain at current levels and especially given the positive developments of litigation, should we expect additional insider buys after the blackout ends?
Ofer Tziperman: Eric, we are not in a position to make any statements on potential future share transactions of the board and management team. Eric’s next question:
Eric Gomberg: Last year, the [indiscernible] eliminated its poison pill. Given the company’s significant IP and positioning in the NFC segment, are you looking to execute on the strategic plan, or are you open to selling some or all of the company at the right price?
Ofer Tziperman: Eric, all we can say at this point is that the board is considering all options that are in the best interests of shareholders. The final question comes from Sherli Looi with Garrison Bradford & Associates, who asks:
Sherli Looi: How does OTI compete with the likes of Gemalto and NXP Semiconductors? 
Ofer Tziperman: Thanks for the question, Sherli. We do not seem them as competition, rather we buy from them or collaborate with them in some instances. None of them are directly playing in our reader business. Those were all the questions we received. Thank you for all your questions and interest in OTI. If you have further questions, please contact us directly or through our investor relations firm, Liolios Group, using the contact information provided in today’s press release. Now with that, I would like to turn the call back over to the Operator who will provide the closing remarks. Operator?